Operator: Good day and welcome to the Coca-Cola Enterprises' Third Quarter 2015 Conference Call. At the request of Coca-Cola Enterprises, this conference is being recorded for instant replay purposes. At this time, I'd like to turn the conference over to Mr. Thor Erickson, Vice President of Investor Relations. Please go ahead, sir.
Thor Erickson - Vice President-Investor Relations: Thank you and welcome – thank you for joining us today, everybody. We appreciate you joining us to discuss our third quarter 2015 results and our full-year outlook for 2015. Before we begin, I'd like to remind you of our cautionary statements. This call will contain forward-looking management comments and other statements reflecting our outlook for future periods. These comments should be considered in conjunction with the cautionary language contained in this morning's release, as well as the detailed cautionary statements found in our most recent Annual Report on Form 10-K and subsequent SEC filings. A copy of this information is available on our Web site at www.cokecce.com. Additionally, it is important to highlight that statements made about Coca-Cola European Partners or CCEC and the proposed merger on today's call are made with a full recognition that this is subject to regulatory approvals and other conditions of closing and that until closing of the transaction we are operating our businesses separately and independently. Today's prepared remarks will be made by John Brock, our CEO, and Nik Jhangiani, our CFO. Hubert Patricot, President of our European Group, is also with us on the call this morning. Following the prepared remarks, we will open the call for your questions. In order to give as many people as possible the opportunity to ask questions, please limit yourself to one question, and we will take follow-up questions as time permits. Now, I'll turn the call over to John Brock.
John Franklin Brock - Chairman & Chief Executive Officer: Thank you, Thor, and we thank each of you for joining us today as we review our most recent results, as well as our outlook for the full-year. In the third quarter we achieved comparable diluted earnings per share of $0.84. Our operating results include a currency neutral net sales decline of 1%, driven by a volume decline of 1%. These operating results were affected by the persistent, softness in the consumer environment and continues to affect a broad consumer goods sector, as well as the impact of unfavorable weather in August and that was particularly true in Great Britain. While not the growth for which we planned, we continue to manage each element of our business to deliver operating income growth of 2% on a comparable and currency neutral basis. As we look at the third quarter in more detail, our volume results include a decline of 1.5% for sparkling drinks. Our Coca-Cola trademark portfolio was down 2%, as growth for Coca-Cola Zero and Coca-Cola Life was offset by declines for regular Coca-Cola, Diet Coke, and Coca-Cola Light. Let me note that Coca-Cola Life which we expanded to all territories earlier this year continues to perform well and is proving to be a solid addition to our portfolio. Looking at still beverages, we achieved growth of 3% in the quarter, driven by Capri-Sun and Waters. Distribution of Capri-Sun was expanded to Sweden earlier this year and the brand grew meaningfully in France due to increased presence and consumer demand. Our Water portfolio grew more than 12% in the quarter, benefiting from growth of glacéau smartwater in Great Britain, as well as excellent growth for Chaudfontaine. On a territory basis, volume in Great Britain declined 4%, reflecting the impact of poor weather in August. Continental European volume increased 1%, led by solid volume growth in France. While this is a notable gap between Great Britain and Continental Europe, it's important to remember that results for each territory are affected by a variety of factors, notably weather and comparisons to prior-year results. For our Company as a whole, operating conditions remain challenging, and we continue to adapt our plans in all territories to enhance opportunities for growth. Innovation and expansion continue to be an essential element of that effort. In fact, in the past year we've completed Coca-Cola Life expansion across all territories. We've launched the low-calorie sparkling Finley brand in Belgium, France, and Sweden, successfully introduced glacéau smartwater in Great Britain, and expanded distribution into both Capri-Sun and Monster. All these brands currently represent a small portion of our total volume, they're important as they expand our footprint in the NARTD category and provide profitable incremental volume. These innovation efforts, coupled with our commitment to improving our already high levels of customer service will be important to our ongoing work to restore sustainable growth. In all cases, we'll continue to manage each element of our business with a clear focus on work that help to achieve our most important objective and that is increasing shareowner value. Now let's review our outlook for the full-year. As you saw in our news release this morning, we've affirmed our profit guidance for full-year 2015 including slightly positive operating income growth and diluted earnings per share at the upper end of the range of 6% to 8%. However, given the challenges of the third quarter, we now expect net sales to be flat to slightly negative for the full-year. As we affirm guidance for both operating income and earnings per share, we recognize that it's important to improve our operating growth outlook even in the face of difficult market conditions. And we are taking steps to make certain that we are positioned to do so. As we work to create shareowner value at CCE, we are also focused on the successful creation of Coca-Cola European Partners, which will combine our territories with the Iberian and German bottlers. The process is on schedule for a close in the second quarter of 2016. Once combined, CCEP will build on each bottler's capabilities, driving new efficiencies, and leveraging best practices. The new company's increased scale, and improves capabilities will make it a stronger commercial partner at every level and ultimately, will drive long-term value creation for shareholders. To ensure CCEP success, the teams are focused on three specific areas. First, each organization, that is CCE, CCIP, and CCEAG has a clear focus on delivering full-year 2015 objectives. Second, each company is engaged in a cross organizational effort to ensure that the transaction is successfully closed. As mentioned, this process is on schedule with a planned close in the second quarter of 2016. Finally, the companies are focused on moving forward to prepare for the integration. Led by Victor Rufart, who will be CCEP's Chief Integration Officer, a team will ensure that CCEP is ready to realize the opportunities created by the new company over time. We'll continue to keep you posted on developments, involving the new company, as we work toward a successful close. As previously announced, Damian Gammell has now officially joined our team at CCE as Chief Operating Officer, a position he will assume for CCEP as well. Damian has a wealth of experience within the Coca-Cola system, most recently as Beverage Group President and CEO of Anadolu Efes. We are very pleased that he is with us and we look forward to Damian's leadership as we move towards the launch of CCEP. Now, I'd like to share with you an important step forward that recognizes our sustainability efforts. CCE is now part of the Dow Jones sustainability Index, one of the most widely recognized and respected sustainability rankings. This recognition reinforces our hard work to integrate sustainability through the very core of our business and is another strong example of our global sustainability leadership. So in closing, let me make a few key points. While our operating conditions continue to be difficult, I remain optimistic about the future for both CCE and CCEP. We sell many of the world's most recognized soft drink brands that are preferred and desired by both our customers and consumers. We operate in highly developed, stable markets that offer opportunities for growth and enhanced effectiveness and efficiency. We have a highly skilled and dedicated team of people at every level in the Company. This team approach -- this team approaches the challenges of every day with experience and drive, always seeking new ways to serve our customers and grow our business. And importantly, we have a solid partnership with the Coca-Cola Company, which includes an aligned approach to our markets and a commitment to develop and grow our portfolio. Importantly, as we move toward the creation of a new entity, CCEP, which will be the world's largest independent Coca-Cola bottler by net sales, we will utilize each of these assets to accomplish our number one objective: creating increasing levels of value for our shareowners. We again appreciate each of you joining us today. And I'd now like to turn the call over to Nik for more details on our financial results as well as our full-year outlook.
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Thank you, John, and we appreciate each of you taking the time to be with us today, as I discuss our third quarter financial results and our outlook for 2015 in a bit more detail. On a reported basis, the third-quarter earnings per diluted share were $0.72 or $0.84 on a comparable basis, which includes a negative impact from currency of $0.15. Net sales were $1.8 billion, down 1% on a currency-neutral basis, mainly as a result of a volume decline of 1%. Comparable operating income was $297 million, up 2% on a currency-neutral basis. Net pricing per case declined 0.5% while cost of sales per case declined 2.5%. While top line growth remains challenging in the current environment, the combination of cost favorability and our continued focus on controlling operating expenses have enabled us to generate modest operating income growth and operating income margin improvement, two areas we have a continued focus on. Now let's take a look at our 2015 full-year guidance. As John discussed, we've affirmed our guidance for full-year 2015 diluted earnings per share, which we expect to come in at the upper end of the range of 6% to 8% and for slightly positive operating income growth. However, given the continued impact of the soft consumer environment and the unfavorable third quarter weather, particularly in Great Britain, we now expect net sales to be flat to down slightly. We also continue to expect free cash flow in a range of $600 million to $650 million including the impact of currency at recent rates off an approximate headwind of the mid to high teens. We continue to expect capital expenditures of approximately $325 million. Weighted average cost of debt is expected to be approximately 3%. And the comparable effective tax rate for 2015 is now expected to be approximately 27%. We expect cost of sales per case to be down 2% for the full-year, benefiting from favorable cost for PET and sugar principally. Additionally, we expect the year-over-year cost favorability that we've seen year-to-date or in our first nine months results will begin to decrease as we begin lapping more challenging prior year hurdles. Also in the third quarter we completed our planned 2015 share repurchases, reaching a total of approximately $600 million for the year. In the face of a pervasive soft consumer environment, reaching our targets will require continued outstanding marketplace execution and sustained diligence on managing costs and increasing effectiveness and efficiency. Let me also remind you that we have four less selling days in the fourth quarter as the first quarter of the year had four extra selling days. However, this will not impact the full-year results. Now I want to mention to you the new incident-based concentrate pricing model that we've agreed with the Coca-Cola Company. This new agreement which will commence January 1, 2016 and is tied to the term of our franchise license agreement which expires in 2020, creates a simplified process and better aligns timing into the current year all without a value transfer. This model is a solid step forward and creates even greater alignment with the Coca-Cola Company. And as John mentioned, we have cross-organizational teams working to ensure that the CCEP transaction closes as expected in the second quarter of 2016 and that CCEP launches successfully. For 2015 the previously disclosed CCEP projected full-year 2015 operating income and EBITDA remain on track, while CCE's revised net sales outlook has slightly lowered expectations for CCEP's net sales. All figures are on a comparable and currency-neutral basis. Additionally, pre-tax run rate synergies continue to be on track, and we look forward to providing more information on CCEP after the initial filing of the draft proxy. In closing, let me emphasize that even as we work to create CCEP, we continue to have a keen focus on restoring value-building growth for CCE, on capturing the opportunities before us, on enhancing the effectiveness of our business. Together these efforts will allow us to succeed despite the persistent operating challenges of today. We have a solid history of and a commitment to managing the levers of our business to deliver value. This is even more important in today's environment. As always, we will remain focused on creating consistent long-term profitable growth and generating cash. Together with the new management team, we intend to continue this commitment into CCEP, all with the goal of delivering increasing levels of shareowner value. Thanks for your time, and now John, Hubert and I will be happy to take your questions. Operator.
Operator: Our first question is from Bonnie Herzog with Wells Fargo. You may begin.
Bonnie L. Herzog - Wells Fargo Securities LLC: Good morning, everyone.
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Good morning.
John Franklin Brock - Chairman & Chief Executive Officer: Hi, Bonnie.
Bonnie L. Herzog - Wells Fargo Securities LLC: I have a question on your guidance. You lowered your topline to flat to slightly negative, but maintain your operating income and then EPS growth guidance, which implies some cost-cutting relative to your previous expectations. So could you talk about that a little bit more and then what your expectations are for marketing expenses? And then, more broadly your operating expense growth has generally outpaced your topline growth pretty consistently, so just curious if there's an opportunity to cut cost further there?
John Franklin Brock - Chairman & Chief Executive Officer: Sure. Bonnie, you're right. I mean, obviously we have been doing everything that we can to try and protect our operating income and EPS numbers and so while the – while we have seen the topline softness, the carbs favorability as well as our continued focus on our packs has helped us to be able to continue to remain focused on being able to deliver the OI in line items. From and EPS perspective, obviously clearly there has been a more favorable tax rate that we've guided to as we've gone through the year, as well as some very small changes in terms of on interest expenses. To your question around OpEx I would say to you, we remain very focused on that and that's something that we continue to challenge ourselves both with CCE and I think also in line if we look at CCEP and the synergies there is going to be a big opportunity for us to look at our overall SG&A costs. On the marketing expenses piece, I would continue to indicate to you that we remain on track with what we had planned to spend along with the Coca-Cola Company and we're not backing down from that.
Bonnie L. Herzog - Wells Fargo Securities LLC: Great. That's helpful and then I just have a final question on your Monster energy business with mid-single digit volume growth that was somewhat soft. So could you talk a bit about the overall energy category performance and then perhaps maybe driving some of the recent softness in Monster in your markets? And then how is the launch of Monster in Norway performing?
John Franklin Brock - Chairman & Chief Executive Officer: Hubert?
Hubert Patricot - Executive Vice President and President, European Group: Yes, Bonnie. For the third quarter, CC Energy portfolio declined 0.5% with double-digit growth on the Continental Europe and a high single-digit decline in the GB market. On the Continental energy segment continue to experience healthy high single-digit growth both in France and the rest of the country. And we are outperforming the segment over there. In GB, we could notice a slower growth in the energy segment with value and volume slightly up, but more in the low single-digits. And this was impacted by -- mainly by the poor weather in the quarter. At the same time, we outperformed the segmented volume and we lagged a bit behind in term of value growth. We see that more than a one-off or frankly than a trend and we remain positive on the energy category, especially on Monster and we think the energy category continues to be a growth driver for us as we move forward in the rest of the year.
Bonnie L. Herzog - Wells Fargo Securities LLC: Okay. And then real quick, did you -- could you touch on the performance in Norway, please?
Hubert Patricot - Executive Vice President and President, European Group: Norway we are very pleased with the launch of the Monster in Norway. And as we said we had good performance in all countries, except frankly for GB in this quarter.
Bonnie L. Herzog - Wells Fargo Securities LLC: Okay. Thank you.
John Franklin Brock - Chairman & Chief Executive Officer: Thank you.
Operator: Thank you. Our next question comes from John Faucher with JPMorgan. You may begin.
John A. Faucher - JPMorgan Securities LLC: Thanks. Wanted to follow-up a little bit on sort of the pricing environment. If we look at the U.S. retail environment, it seems to have gotten more rational in terms of volumes not growing in CSD's and so they're getting some pricing to drive value and profits. And that obviously doesn't seem to be the case in terms of looking at how the European retailers are viewing the category. So can you talk a little bit about -- and I realized those are going to be general as opposed to specific retailers, can you talk about sort of how the retailers are viewing the category and how they view the balance between volume growth, value growth, profit growth? And do you almost need to have volume in order to get pricing or is it as long as volume continues to be pressured they're not going to be looking to partner with you guys as much on pricing? Thanks.
John Franklin Brock - Chairman & Chief Executive Officer: Hubert.
Hubert Patricot - Executive Vice President and President, European Group: Yes. I think probably we should decouple what is happening on the Continent that's what is happening on GB. I think on the Continent, our pricing is really due to the fact that we had the negotiation with the consolidation of the customer and by groups in the beginning of the year in France that we see some increase in the value of the category. And again, we are balancing promotional activities and price increase. But to your question, we see both the retailer taking some pricing, some price on the category. In GB, it remains pretty competitive environment as retailers are continue to work through growth challenges and consumer spending remains pressured. So I would say, it's probably more competitive in GB and we try again to balance our promotional activities as focus on some high value pack like small PC, glass bottles and so on.
John A. Faucher - JPMorgan Securities LLC: Great. Thank you.
John Franklin Brock - Chairman & Chief Executive Officer: Okay.
Operator: Thank you. Our next question is from Judy Hong with Goldman Sachs. You may begin.
Judy E. Hong - Goldman Sachs & Co.: Thank you. Good morning. So I wanted to just focus a little bit on your topline performance on the sparkling brands and just obviously we had the weak weather in the U.K. and the soft consumer environment and some of the competitive dynamics that you've cited, but if you think about all the efforts that you and the Coca-Cola Company are doing to drive some topline growth, do you feel like that those are working and are you starting to see at least on an underlying basis some of the green shoots that you would expect to see from some of those efforts and if not then what other efforts are really underway to kind of drive stronger growth? And then, just in terms of Spain and Germany because I guess Nik you commented on the total performance topline projections that you had given really being a little bit impacted by the CCE softer topline projection now, but I guess whether it probably helps some of the markets like Spain and Germany, so just wondering why those projections aren't changing at this point?
John Franklin Brock - Chairman & Chief Executive Officer: Yes. Let me just make a general comment to start with it. I think the soft topline that we're seeing there really reflects the overall consumer environment, not just for NARTD's and sparkling, but for consumer package goods as a whole in Europe. And of course we said we had an additional issue with poor weather in GB. So we continue to be – I would call it guardedly optimistic as we look to the future. We didn't see the kind of growth in revenues in the quarter that we'd like. But again I think that was principally a broad stroke consumer packaged goods environment kind of situation. We think, we and the Coca-Cola Company are in hand and working together well to try to think about and figure out what we need from an innovation standpoint and a way of driving revenue growth going forward, and we expect to see that. I think the benefit of course is we continue to have a favorable cost of goods environment and an incredibly strong focus on cost controls, cash flows and allocation of capital. So that's broadly I think what's going on. Nik, if you want to comment on that.
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Yes, sure Judy, you're right. I mean the topline softness is primarily coming from CCE's revised numbers and that too being driven primarily by GB where we did see very poor weather starting up principally in August. So I think across some of our markets too, I think we continue to see a better performance than what we've seen in GB, supported by better weather which I would say is right for Germany and Spain as well. And so we are able to reaffirm the overall numbers for CCEP which includes Spain and Germany pretty much at the same levels as we initially talked to you in August.
Judy E. Hong - Goldman Sachs & Co.: Okay. And can -- if I can just follow-up, so as the weather presumably normalized a little bit in the last month and a half have trends in the GB gotten better than August?
Hubert Patricot - Executive Vice President and President, European Group: I think we are reaffirming our guidance, and we have a strong program. But as you know in Q4, the very important months are really November and December, and so we are launching a new large PET bottle with a bow and we're putting a lot of effort behind that, but it's really too early to tell. The last four weeks are really the most critical in our quarter four results.
John Franklin Brock - Chairman & Chief Executive Officer: Yes. And I think the fact that we've affirmed expectations is a pretty good indication that we see things happening broadly in line with kind of where we thought they would be and we think that's going to continue through the quarter.
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: And Judy of course I can't give you too many more details on Spain and Germany until we actually filed that F-4 and then we will discuss a lot more post that.
Judy E. Hong - Goldman Sachs & Co.: Got it. Okay. Thank you.
John Franklin Brock - Chairman & Chief Executive Officer: Thank you.
Operator: Thank you. Our next question is from Steve Powers with UBS. You may begin.
Stephen R. Powers - UBS Securities LLC: Thanks. Good morning. Not to belabor the topline and I appreciate the comments around weather and the macro context et cetera. But I'm just struck again by the longevity of the trends really going back to 2010, since you've formed yourself as a European only company, based on your current guidance versus pro forma 2010 revenues are going to be down, gross profits seem poised to be about flat and yet EBITDA is expected to be up and up and up sizably in margin terms. So I guess especially in the context of a quarter where gross margins were up so significantly, and where it appears you continue to lose share in some key markets I'm just wondering maybe if there's a growing case for you to begin investing even more to drive that growth whether it's investing in price and promotion even if just temporarily, investing and stills categories that may require at least a temporary margin sacrifice et cetera. Because I just -- we've been talking this seems like a Groundhog Day where we have the same conversation this great expense control. It's been great for five years but the topline has been parentally soft.
John Franklin Brock - Chairman & Chief Executive Officer: I'd say if you go back to 2010 and 2011 we actually did have some meaningful growth in our topline business in the first two years of our new existence in spite of what was a pretty persistent macroeconomic weakness that was going on. I think frankly what's happened since then has been a continued situation with consumer behavior in the midst of a continuing economic deteriorating kind of situation, coupled with a very challenged customer environment over the same period. So I think when we look at the longevity here over the last five years we'd say the first two went actually broadly in line with what we expected the last three and half had been more challenging as you pointed out. And I think it's because of those macroeconomic factors principally, our consumers and customers. And frankly we again remain relatively optimistic as we look to the future when we think about the brands that we have, the relationship with the Coca-Cola Company. The ability to drive innovation and then of course as we think about the future and even stronger business model that we're going to have going forward with CCEP.
Stephen R. Powers - UBS Securities LLC: Yes. I think that's -
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: And Steve I would – sorry.
Stephen R. Powers - UBS Securities LLC: Go ahead, Nik.
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: I was just going to say the numbers, if you look at them for 2010, we were up 5% when you look at volume and price per case. For 2011, we were up 5.5%, and then for 2012 and 2013 we were flat. So as John rightfully said, what we're really seeing is what's been coming in the last couple of years. And that was a big part of why we launched the business transformation program because we did see topline softness, and we needed to find ways to be able to save cost and drive (30:31) as well, and then also keep in mind that that was an opportunity to be able to reinvest some of that as we've been doing into marketing and digital, etcetera. The other thing I would say to you, if you think about 2012, you know, that was largely led by the whole France dislocation as a result of the excise tax. So just to put it all into context, I think this has much more been probably the last two plus years, and we will always continue to have a strong focus on OpEx and cost management. So that's all. You had a follow-on.
Stephen R. Powers - UBS Securities LLC: You know, I think that's fair context. I guess as the consumer gets better and the end market demand gets better, do you think the portfolio is poised to sort of grow naturally off this base or do -- have you been holding back on investments to -- because you're seeing the soft end market demand? Such that when demand kind of comes back you start to spend more proactively, or is it more of a natural inflection when the end markets improve?
John Franklin Brock - Chairman & Chief Executive Officer: Well, we have not been holding back. We and the Coca-Cola Company have been consistently trying to figure out how best to both innovate and to drive revenues forward. And when you look at some of the things that we have going on this year, whether it's the Rugby World Cup, and then you look at next year and some -- the big event we have coming along with the Euro Cup, I mean we have not been holding back. I guess is the simple answer. But we've also been prudent, I think, in recognizing where we are and trying to gauge and balance our spending with what's going on in the marketplace. I think you're right in that consumer behavior is getting a bit better. I think consumers are getting slightly more positive about the future. Customers, I think the jury is still out, frankly. Our customers are still in a challenging situation. We're working hand-in-hand with them to try to get back to where we used to be, which was a category that was a very expandable and one which created extremely good business for them, and so we're working hand-in-hand with them to get back to those days, and are frankly, I think, poised for the future, as we see macroeconomics, consumer behavior, and hopefully, customer economics improving. We and Coke stand ready to work with them to drive our revenues forward.
Stephen R. Powers - UBS Securities LLC: Okay. Thanks if I could squeeze one last one in there -- a different text entirely. You mentioned John that the membership in the Dow Jones Sustainability Index. Congrats on that.
John Franklin Brock - Chairman & Chief Executive Officer: Thank you.
Stephen R. Powers - UBS Securities LLC: I guess, is it -- looking forward, when you're a European company, what's the likelihood that you maintain that membership and membership in other U.S. indices? And conversely how quickly might you pick up European membership? Thanks.
John Franklin Brock - Chairman & Chief Executive Officer: Well, we actually -- first of all, thanks for the congratulations. We're really excited about it. We're one of only three beverage companies that are on the index. And just to elaborate on it a little bit more, there is both a U.S. index and a global Index, and we qualified for both of them, which causes us a fair amount of pride. So going forward, our hope would be that we would continue to be members of both of them, both globally and U.S., which is, again, I think a reflection of where we're going to be. You don't have to be a U.S. domiciled company to be a member of the global Dow Jones index. So as we go forward with CCEP and have shares traded on both the NYSE and Amsterdam, our certainly very clear desire is going to be, now that we're on this index, to stay on it on an indefinite basis.
Stephen R. Powers - UBS Securities LLC: Thanks. Sorry. Still here. Thank you.
John Franklin Brock - Chairman & Chief Executive Officer: All right.
Operator: Thank you. Our next question comes from Ali Dibadj with Bernstein. You may begin.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: Hey, guys. Just on topline, wanted to confirm that value and volume market share for you of nonalcoholic beverages hasn't really changed, because you are leaning on macro and weather to explain some of the weakness and not things like health and wellness or your portfolio being over indexed to sparkling versus still. So just wanted to get that clear. And then, if you look at what you said in the press release and kind of the commentary in the prepared remarks in terms of how you expect to try to improve your volume, clearly the issue, you said things like continuing to seek new ways to grow net sales. But can you be more specific about that? In particular, whether you're looking at price mix driven initiatives, and this may be different by region, versus volume focused initiatives.
John Franklin Brock - Chairman & Chief Executive Officer: Hubert, you want to talk about volume and value share?
Hubert Patricot - Executive Vice President and President, European Group: Yes. Year-to-date, if we look at the total NARTD category, we are about flat both in volume and value. It varies by country, but basically we are flattish. Regarding the portfolio, we are pretty pleased with the launches we had last year. We mentioned our still portfolio but smartwater is performing very, very well in GB. It's already the number five icy water capturing a disproportionate share of the profit of this category. So we're pretty pleased and Coke Life continues to be a growth factor for us.
John Franklin Brock - Chairman & Chief Executive Officer: And we will continue to look for ways to build that still portfolio. It's obviously growing faster than our sparkling portfolio, and we are disproportionately skewed toward sparkling, which is a good thing in terms of value. It's a very good thing, in fact, in terms of value. But when we look at the growth and you see what kind of growth we are having with Capri-Sun and with waters, we really will continue to work again hand-in-hand with Coke to try to figure out how to get even bigger and broader in that area because it is an area of growth which we need to participate in in a more significant fashion.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: Okay that's helpful. And then two other ones. One is just related to CCEP. You're basically saying that the topline in Germany and Iberia weren't as expected, not like we've seen in GB. Can you tell us whether that's true from a volume and price mix perspective? Whether a shift between either of those to get to kind of as expected topline? And then the last thing is around just I know it's a tough question to answer, but around ROI of marketing spend, so we always hear about big events like Rugby World Cup or Euro Cup or way back when the Olympics and you never -- we never see the volume responses in the short-term that you might expect. But have you really thought about the ROI in those investments in particular from a short-term, but also obviously from a brand building perspective longer-term and how you make that decision that that spend is better than an extra cooler or in-store display of some sort? Thanks.
John Franklin Brock - Chairman & Chief Executive Officer: Sure. On the first question, let me just say that we really can't give any more light on the situation there. I think the next time that we will be in a position to pass on some information which we know will be useful and everyone is interested in waiting to see it, will be and our target is late December when we issue the F-4. And with that, I think you'll get a much better picture of what's going on in Spain and Germany and until then, I think, candidly, it's just premature for us to try to talk about that. In terms of ROI on big events, sure. We measure it consistently and every time we do it, we, again, and the Coca-Cola Company, as you've heard me say before, we're all about big event marketing. We think it's really important from both a brand equity standpoint, as well as from a consumer and customer interaction standpoint. The deal is very simple if there's not a big event in a year, we'll invent one. We'll come up with one and again we work hand-in-hand with Coke and we've had some great ones even in off years from Olympics and Rugby World Cup. So, yes, we look carefully at what we invest and what the return is. I think it's fair to say on big event marketing, there is no scientific way to really measure the impact. Although I think you could say we know very much both qualitatively and to some degree quantitatively that this is what we're all about, it's who we are and when we -- when you think about Coca-Cola being the longest-running sponsor of the Olympics and the kind of relationship we have with World Cup and Rugby, it is absolutely hand-in-hand with our brand and we know it drives not only brand equity, but it drives consumer behavior and pulling our products off the store shelves.
Hubert Patricot - Executive Vice President and President, European Group: And Ali, if I may add one point. When we have an event like that, we try to activate quite long time in advance. So take the Euro '16 which will take place next year we have had already some activation this month in France, it's one of our main customers with a strong impact. But it's also fair to say that we have to cycle last year World Cup and share a Coke and it was a difficult cycling for us. And looking forward we are very positive about the Euro coming on because net-net I think football beats rugby it's a fair statement in our country. And so we expect more from the Euro to come.
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: And lastly I would say to you it's not and/or in terms of where we invest because a lot of our plan, our campaigns are all about integrated marketing. So whether it's end of aisle displays, what we need to do in store in terms of activations along with events, and what we want to do in terms of cooler placements et cetera, are kind of all looked at as a part of an overall plan as opposed to should we go here or there? So -
Ali Dibadj - Sanford C. Bernstein & Co. LLC: Great. Thanks. I look forward to see it impact your topline. Thanks guys.
John Franklin Brock - Chairman & Chief Executive Officer: Good.
Operator: Thank you. Our next question is from Ian Shackleton with Nomura. You may begin.
Ian M. Shackleton - Nomura International Plc: Yes. Good morning. A lot of my questions have been answered, but I was particularly interested in the wording I think in the statement where, John, you talked about your planning for the successful transition of the company. And I just wonder what sort of planning you can do at this stage before thinking about the proxy statement are filed. Can you just give us an idea of what actually is underway?
John Franklin Brock - Chairman & Chief Executive Officer: Just to make sure I understood you were saying the planning for the formation of CCEP is that what you asked about?
Ian M. Shackleton - Nomura International Plc: Yes. Exactly what you can get along with and start planning at this stage, even before the proxy statement has been filed.
John Franklin Brock - Chairman & Chief Executive Officer: Yes. What we can do is put our heads together and plan for the future. We have to operate our businesses and are operating them as very discreet and separate businesses as we speak. But as we look to the future and think about where we see the business going and how we'd like to see it organized, how we'd like to see it orchestrated and coordinated. As long as we are planning for the future, and not talking about the current set of results and so forth, we can do that and have obviously make sure that we're taking all the appropriate legal steps to make sure that that's okay, but we are doing that and we've got, again, our team -- set of teams that are working together. I've already mentioned that Víctor Rufart is our Chief Integration Officer, and we have some very high level work that we're putting together to make sure that when closing does occur, which we anticipate being in the second quarter of next year, that we will be well down the road or knowing exactly how we're going to run the business, what it's going to look like, what the synergies are going to be -- we've told you before what those synergy numbers are, and of course we're spending time making sure that those synergies are in fact still right. The very fact that we haven't changed anything about that would confirm that that's the case. So as long as we look ahead we are fine and that's exactly what we're doing.
Ian M. Shackleton - Nomura International Plc: In terms of follow-up, intended use what we should expect for your next few quarters? Historically you've always given some guidance call in December, should we expect that? Just to confirm you are talking about the proxy filing late December. I hear that correctly, did you?
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Yes. That's right. So currently our estimate is for that to be filed sometime towards the latter part of December. In terms of outlook call, Ian, we're still debating that and to determine the merits of that and we'll come back to you once we've made the appropriate decision.
Ian M. Shackleton - Nomura International Plc: Very good. Thanks for that color. Thank you.
John Franklin Brock - Chairman & Chief Executive Officer: Thank you.
Operator: Thank you. Our next question is from Kevin Grundy with Jefferies. You may begin.
Kevin Grundy - Jefferies LLC: Thanks, guys. Good morning.
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Good morning.
Kevin Grundy - Jefferies LLC: I wanted to come back just to clarify on the topline, so just to be clear, the downward revision was strictly related to GB with all other regions performing relatively in line with [technical difficulty]?
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Yes, absolutely. That's pretty much accurately.
Kevin Grundy - Jefferies LLC: Okay. Thanks for that. And then John, I was hoping you could possibly comment on the retail environment in GB, specifically the presence of hard discounters and we're seeing a rapid growth there and declines elsewhere among the four primary grocers in the country. Can you talk a little bit how that's impacting your business and maybe even broadly the differential in growth rates for your own business into those channels? Thank you.
Hubert Patricot - Executive Vice President and President, European Group: Yes. We see clearly a change in the customer landscape, but our plan is really to grow with all our customers and we think -- we see potential to grow with each of them. We see a trend also towards convenience and that's why we're putting so much focus on icy consumption like with smartwater. And we see also growth in digital and we have been recognized as the best digital supplier today in the GB, which is very important for us, because we see a growth of double-digit both with the pure player and also with the retailer which are on the e-commerce. But again, we see that the category are still potential, three innovation, new pack introductions and the kind of assets we want to activate next year like the euro. But you're right, we see an acceleration of the growth of the discounters and the strength towards convenience. And again we are also building on that, but we see that even with the -- I would say the other retailers, we can have gross and we have another joint business plan with all of them and I think we'll continue to build on that for the future from next year.
Kevin Grundy - Jefferies LLC: If I could just follow-up on that could you comment broadly what your shelf space looks like in the more traditional retailers versus the hard discounters is it where you want it to be, is it significantly less?
Hubert Patricot - Executive Vice President and President, European Group: Shelf space, you mean, shelf. We have less presence as we speak to today in the -- our discounters without decomposing all the retailer, but we were not permanently listed with one of the big hard discounters. So we have more presents for sure today in the traditional other -- the retailers, the top four or top five than with our discounters. But we're working on that and we plan to improve the situation.
Kevin Grundy - Jefferies LLC: That's helpful. Thank you.
John Franklin Brock - Chairman & Chief Executive Officer: Okay.
Operator: Thank you. Our next question is from Bryan Spillane with Bank of America. You may begin.
Bryan D. Spillane - Bank of America Merrill Lynch: Good morning, everyone.
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Hi, Bryan.
Bryan D. Spillane - Bank of America Merrill Lynch: Just one question on cost of goods sold. Nik, if you -- I think you talked about sequentially 3Q to 4Q you start to sort of lap and then some of the more favorable cost you see less of a benefit. I guess as we look out it looks like sugar or sweetener or sugar will probably be higher next year and could you just give us at least in broad strokes kind of how we should be thinking about inflation as a plus or a minus as we move out of the fourth quarter in the next year? And then, also, as we're modeling cost of goods sold, does the new incidents model affect at all sort of what you'll realize in terms of concentrate prices and I guess what I'm thinking is, your pricing actions typically tend to happen early in the year, but you may not know that necessarily in December right as you planned for 2016. So there will potentially be more volatility in concentrate pricing depending on how easily or how quickly you are able to execute pricing action?
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Yes, sure. So yes, you're right in terms of -- we are starting to lap some of the favorability that started up towards the early part of the fourth quarter last year, particularly, on sugar because if you remember we negotiated with some of our sugar contracts as well as the oil prices continued to move favorably as early as Q4 last year. So both of those have an impact in terms of the year-on-year comps for Q4 and hence we're guiding to that approximately 2% down for 2015. Early days for 2016 to provide much guidance but I would say to you if we look at the benign environment that we've had, for COGS over the last couple of years, that's probably not going to be there to stay. Fortunately, I wouldn't think that we're moving back to the time of four or five years ago where we had significant cost increases as well. As always, we hedge and we cover ourselves sometimes for multi-year. So we'll obviously provide you more guidance, but I would say to you we'd be looking at commodities to not be a huge unfavorable nor a big favorable impact going forward into 2016. From a concentrate perspective, you're right. It does bring a little more volatility into the mix, given the fact that we will be adjusting on a real-time basis, but I think that just brings and drives a lot more alignment between us and the Coca-Cola Company to make sure that we're doing the right things to drive topline and all realizing that revenues made up of all three of those components of volume, price, and mix and how do we move those favorably if one's not happening or moving in the right direction to be able to offset weakness in one of those areas. So it can bring some around but obviously I think we will continue to guide you on that. As we go forward, but I've worked with this model before and I think it clearly is a superior model from an alignment perspective between us and the company.
Bryan D. Spillane - Bank of America Merrill Lynch: Thank you -- one final --
John Franklin Brock - Chairman & Chief Executive Officer: Just one final comment, all of our pricing actions aren't necessarily imprecisely. The first quarter of GB and France tend to be in that timeframe, but as you may have heard us say before some of the others take place in the fall and summer already locked and loaded for next year, so it's really GB and France that are December, January, and February.
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: And John is absolutely right in that. But keep in mind, the pricing negotiations are just one part of our total price mix equation because promotional activities, while we plan several weeks out, those are always something that we continue to adapt and amend to depending on the environment.
Bryan D. Spillane - Bank of America Merrill Lynch: All right. Thank you.
John Franklin Brock - Chairman & Chief Executive Officer: Yes.
Operator: Our next question is from Mark Swartzberg with Stifel, Nicolaus. You may begin.
Mark D. Swartzberg - Stifel, Nicolaus & Co., Inc.: Yes. Thanks. Good morning guys. I guess I'll focus this question on CC, although if you can address it for CCEP or CCEP that would be great. When you look at your total brand spend and think about the portion that's nonworking dollars, is there a lot of opportunity there to eliminate those dollars? How far along are you in that exercise? And then also, as you think about total brand spend, maybe it's an unfair comparison, but we see Dr Pepper Snapple here in the U.S. slowly building share in carbs while keeping the total dollar spend essentially flat. So how would you characterize your effectiveness monitoring ROI and really having the dollars that are being spent used to actually produce this objective of share growth?
John Franklin Brock - Chairman & Chief Executive Officer: Well, first of all, we and Coca-Cola spend together in terms of brand and marketing spending. And most of the consumer marketing is spent by the Coca-Cola Company. In terms of our marketing spend, we constantly are looking at absolutely the most effective and efficient way of doing it, and continue to try to optimize it week in and week out to maximize our set of results. And obviously, you can assume we'll be doing the same thing as we move forward with CCEP.
Mark D. Swartzberg - Stifel, Nicolaus & Co., Inc.: And is the nonworking number, from your component of spend, is that a large number you can go after or is it a relatively small number?
Hubert Patricot - Executive Vice President and President, European Group: No it's a relatively small number, and we are very, very carefully looking at that and trying to compress it. But it's not a significant number.
John Franklin Brock - Chairman & Chief Executive Officer: No. That whole cost of, as you call it, the nonworking number, is not something that, frankly, is generally something we spend money on. That's typically more the Coca-Cola Company. That's the entity that's spending money in that arena.
Mark D. Swartzberg - Stifel, Nicolaus & Co., Inc.: Great. Okay. Thank you, guys.
John Franklin Brock - Chairman & Chief Executive Officer: Okay.
Operator: Thank you. Our next question comes from Caroline Levy with CLSA. You may begin.
Caroline S. Levy - CLSA Americas LLC: Hi, everybody. Thank you very much. Can you address first what the percentage of your portfolio is that's in non-sugar products?
John Franklin Brock - Chairman & Chief Executive Officer: You're talking about low and no calorie or zero calorie?
Caroline S. Levy - CLSA Americas LLC: Yes. Low and no calorie, because if there's some sort of labeling, or if there are any changes at the state or federal level in your territories, I'm just wondering – because, John, I often hear you talk about the goal of increasing your non-carb portfolio in other brands. I'm just wondering if there's specific plans at this point, and if Coca-Cola is very cooperative and trying to help you grow that portfolio?
John Franklin Brock - Chairman & Chief Executive Officer: Yes, good question. Hubert, if you want to address that?
Hubert Patricot - Executive Vice President and President, European Group: Caroline, in terms of SKUs, it's probably 40% to 45% of our SKUs which are low or zero calories. In terms of volume, it's slightly below 30%, and it varies by country. So it's clearly higher in GB, where, just to give you an example on the cola portfolio, we are pretty close to the 50%. So and we have been working by investing probably more marketing money behind the zero calories or low calories. The new product we've introduced recently being Coke Life, being Finley, in France and Sweden and Belgium, are low-calorie or mid-calories products, and of course we have also launched smartwater. So clearly we're focused on developing this part of our portfolio. But at the same time, it's fair to say that if we focus on the cola space, we see that the diet colas are growing at the same pace or there is no difference between the diet portfolio and the regular portfolio. So we really see the diet drinks as a growth driver for the future, and it's broader than that. We have just introduced another brand Capri-Sun, a non-added sugar version, but we are acting on that again. And in most of our countries, we have no commitment to decrease the calories per liter. Most of the time it's 10% to decrease per liter as an industry, and we are playing a key role in that. So we are in action, of course, and close collaboration with the Coca-Cola Company on that.
John Franklin Brock - Chairman & Chief Executive Officer: Yes, just to add one more thing, we've made some very clear pledges as part of our sustainability program, as we look to the future. And Coca-Cola Company is very much a part of this, too, in terms of reducing total calories by various percentages that varies by country. But we have been very clear that that is our plan, and we see caloric reduction over the next 5 to 10 years as a major, major driving force behind our total portfolio.
Hubert Patricot - Executive Vice President and President, European Group: And the last example, Caroline, is probably the very recent launch this month of Monster Ultra, which is a zero calorie brand, and we are very, very encouraged by the first consumer and shopper response. So yes, we are really acting on that.
Caroline S. Levy - CLSA Americas LLC: That's great. And did – is Coke – I mean can you imagine, do you foresee new product, be it in coffees or teas or anything, coming your way in the near future?
John Franklin Brock - Chairman & Chief Executive Officer: We continue to work on new products regularly with Coke. And if you look at our innovation pipeline over the past couple of years, you see a number of them that we have talked about today. I don't think from a competitive standpoint we're really in a position to talk about what's coming down the road, but I think you can assume there will be a fair number of new products. I think you could also assume that some of them will be in non-traditional areas, and you could certainly assume that some of them, a significant proportion would be low and no-calorie products.
Caroline S. Levy - CLSA Americas LLC: That's great. And then if I may, just on the same theme, you're moving, there is certainly faster growth in non-CSDs. Generally those are lower margin businesses. And yet your margins are expanding, obviously, commodities being very helpful. But over time, if commodities were more stable, would growth in non-carbs be negative to margin?
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Not necessarily, Caroline. I think if you look at non-carbs as an overall portfolio, there's various elements within that. So, typically, again, if you played in water across all categories and channels, that could be, but if you are very focused on the immediate consumption and smaller packs that's not necessarily the case. Clearly, if you look at teas and energy drinks and some of the other non-carbs, again, with the focus being more on the immediate consumption channel and the fact that a lot of those have higher price realizations. It is actually very safe to assume on an overall basis the non-carb versus the carb portfolio could be similar margins.
Caroline S. Levy - CLSA Americas LLC: Thanks so much. Final question I assume no more fourth quarter purchases. You're done with your repurchase for the year, is that correct?
Manik H. Jhangiani - Chief Financial Officer & Senior Vice President: Yes. That's right. We're done with the 600 that we did for 2015. And as I think that we've said earlier for 2016 that will be on pause as we now move towards the merger.
Caroline S. Levy - CLSA Americas LLC: So much.
John Franklin Brock - Chairman & Chief Executive Officer: Thank you.
Operator: Thank you. Our next question is from Robert Ottenstein with Evercore. You may begin.
Robert E. Ottenstein - Evercore ISI Institutional Equities: Great. Thank you very much. I think earlier on in the call, you had mentioned that your volume year-to-date was -- or your market share volume year-to-date was roughly flat. Would that be true in the third quarter? I mean, it appears from some data that perhaps you lost share in the third quarter. And if in fact that is the case, any sense of why that would have been?
Hubert Patricot - Executive Vice President and President, European Group: So, yes. It was year-to-date, so, not true for the third quarter, as you mentioned. So we lost share in the third quarter. Again, due to the competitive environment, the cycling of important launches last year, we had the launch of Coke Life in GB, which capture a significant market share because it was new news on the market and we had to cycle that. So that net-net your point is valid.
Robert E. Ottenstein - Evercore ISI Institutional Equities: Terrific. That's very helpful. And as you stand back looking at the entire year, being flat, you could argue that that, given all the kind of distraction obviously that management has with the transaction that's actually a pretty good result, is that how you are looking at it? If you're reasonably good about your commercial progress or do you feel that there are certain things that you need to be doing, so it's not flat, but it's actually growing?
John Franklin Brock - Chairman & Chief Executive Officer: Yes. I wouldn't say that we had a distraction this year candidly. I think what we've done is delivered a pretty reasonable not where we'd like for them to be, but pretty reasonable set of results when you look at the consumer packaged goods category, a situation in general throughout Europe. And again, consumer behavior, customer pressure, you put it all together and it's not the kind of year we'd like to have seen when we started out the year, but when we look back and look at all the challenges and difficulties that are going on in the marketplace, and not the transaction. But just simply the managing through what has continued to be a pretty challenging environment. We're -- I would say broadly pleased with where it's come out and we were particularly pleased with the way we've managed cost of goods and OpEx that's all become part of our DNA and we think we're about as good as anybody at doing that. The key to the future is getting the growth algorithm back on track. We are committed to doing that. We are committed further to working with Coke to do that and we think as we work with CCEP in this new entity we are committed to doing that, because growth is what it's all about.
Robert E. Ottenstein - Evercore ISI Institutional Equities: Thank you very much.
John Franklin Brock - Chairman & Chief Executive Officer: Operator we've got time for one more question.
Operator: Our last question is from Brett Cooper with Consumer Edge Research. You may begin.
Brett Cooper - Consumer Edge Research LLC: Hi guys. Building off your comments on input costs, seeing some pricing from retailers in France and given that you are in or have finished some planning pricing negotiations with customers in some countries, what are your expectations for receptivity of level of price increases from retailers which you haven't engaged?
Hubert Patricot - Executive Vice President and President, European Group: Well, again, the two biggest countries are still to come for next year, France and GB. The relatively good news in France is that we see a price increase in the market, saw an improvement in customer margin on the category which is pretty favorable. Again, last year we had this big consolidation. This is a one-off I think, but again it's too early to tell because we're going to engage by the end of November, early December for negotiation in that. So I think it's too early. We clearly -- we intend to always cover our cost of goods, but again, we'll come back to you with more precise information on that as we move forward.
John Franklin Brock - Chairman & Chief Executive Officer: Yes, I think it's a little early to comment on where we think it's going to be. I mean, again it's a challenging customer environment in which we play but again when you look at the really big challenges we had in France with the formation of these buying groups back in the first quarter of this year and the fact that we navigated through all of that, I think we'd characterize the future as a bit more positive than what we've faced this year.
Brett Cooper - Consumer Edge Research LLC: And then a follow-up, I mean is there any update on whether the French buying groups will spin?
John Franklin Brock - Chairman & Chief Executive Officer: No. Civil answer is no. They did it once before and ultimately they were just – disallowed and -- but it took some 18 months, 24 months. So I think we will kind of have to wait and see. And even if they are, disallowed, there is no -- it's not retrospective it would just before the future but obviously, that would be good news if that happened.
Brett Cooper - Consumer Edge Research LLC: Thanks.
John Franklin Brock - Chairman & Chief Executive Officer: All right. Well let me just say thank you to all of you for joining us today. We appreciate you taking time to be part of this call. And we wish you a good day. Goodbye.
Operator: Ladies and gentlemen, this concludes today's conference. Thanks for your participation. Have a wonderful day.